Operator: Good morning, everyone and thank you for joining our First Quarter 2023 Earnings Webcast. With us today are Marcelo Rabach, our Chief Executive Officer; Luis Raganato, our Chief Operating Officer; and Mariano Tannenbaum, our Chief Financial Officer. Today’s webcast, which is being recorded will consist of prepared remarks from our leadership team, which will be accompanied by a slide presentation also available on the Investors section of our website www.arcosdorados.com/ir. As a reminder, to better view the presentation on the webcast platform, please scroll over the upper left-hand part of the screen and click on the arrows to maximize the slides. After we conclude our opening remarks, we will answer your questions, which you can submit using the chat function on the left-hand side of the screen. You will need to minimize the slides to access the chat function. Today’s call will contain forward-looking statements, and I refer you to the forward-looking statements section of our earnings release and recent filings with the SEC. We assume no obligation to update or revise any forward-looking statements to reflect new or changed events or circumstances. In addition to reporting financial results in accordance with generally accepted accounting principles, we report certain non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial results as compared with GAAP results, which can be found in the press release and unaudited financial statements filed today with the SEC on Form 6-K. Marcelo, over to you.
Marcelo Rabach: Thank you, Dan. Good morning, everyone and thank you for joining us today. The McDonald’s system has been generating consistently strong results around the world for the last couple of years. Arcos Dorados is no exception. This is a direct result of our long-term strategic approach to generating value for our shareholders and we expect the structural competitive advantages of our restaurant portfolio and digital platform to continue to drive value creation for the foreseeable future. Our guests have spoken, there is no doubt we are operating the most in the QSR industry in Latin America and the Caribbean. They recognize the value we offer in our restaurants on a daily basis and the positive impact we make in our communities every year. This is why restaurant volumes continue to grow, and brand trust metrics are at all-time highs. Each time we open a restaurant, we bring McDonald’s favorite menu items closer to our guests, while also creating new job opportunities for young people and investing in the economic development of local communities. We are operating in a vastly underpenetrated region for the QSR industry which represents a significant growth opportunity. Against that backdrop, we are working to support a sustainable future for our business and the communities we serve as we capture the substantial potential that lies ahead of us. This is the first year with no material Covid impact since the pandeemic began and we are off to a strong start. Let’s take a look at the consolidated results for the first quarter of 2023. Total revenue in the first quarter rose 25.3% in U.S. dollars versus the prior year, supported by double-digit guest traffic growth. Strong top line growth drove operating leverage and improved profitability. Adjusted EBITDA was up 28% in the quarter, including modest margin expansion. Net income in the quarter also improved significantly, growing 52.7% versus last year. System-wide comparable sales grew a robust 1.7x blended inflation across the company and at least 1.5x in each division. Market share trends remain positive as well. McDonald’s brand share in the quarter was about 2x and 3.5x as big as that of our two closest competitors, respectively. The 3D strategy drove sales higher in the quarter. Total digital sales accounted for 47% of system-wide sales, with 18% identifiable sales across the business. This included strong performance in both the delivery and drive-through sales channels despite an acceleration of sales growth at the front counter. And our development plan is on track. We opened 8 freestanding restaurants in the quarter and expect the pace of openings to pick up as we move through the year with a higher number of openings in the second half of 2023. Mariano will talk more about that in a few minutes. I turn it over to Luis now for an overview of sales performance in each division.
Luis Raganato: Thanks, Marcelo, and good morning, everyone. System-wide comparable sales growth was drawn in all divisions in the first quarter. Brazil’s comparable sales rose 2.6x inflation in the period. About two-third of the growth came from higher guest volumes as we maintained a competitive pricing strategy to support volume growth given the softer consumer environment in the country. Digital sales accounted for 57% of total sales in Brazil, including 23%, identifiable sales which are users that provide their contact information and explicitly allow us to use it. Brazil’s sponsorships of Big Brother Brazil among the most highly rated television programs in the country and Lollapalooza, one of its most popular music festivals connected the brand with younger consumers. New product launches included premium offerings in both the beef and chicken platforms and digital sales benefited from general specific campaigns in drive-thru. Early access to new products for app users and a Mcdeliver activation during Lollapalooza. NOLAD’s comparable sales grew 2.8x blended inflation in the quarter. Similar to Brazil, about two-thirds of NOLAD’s comparable sales growth came from increased guest volumes. Mexico and the French West Indies were the strongest performers. Costa Rica, Panama and Puerto Rico also delivered solid top line growth in the quarter. Marketing activities in NOLAD included the Big Mac chicken launch in Mexico and Costa Rica, leveraging an iconic product to expand the chicken platform. We continued the rollout of the best burger platform to Panama, capitalizing on best practices from the implementation in Costa Rica, Panama’s comparable sales growth up 14% in the quarter. As a reminder, Best Burger is a new quality standard for McDonald’s’ classic burgers. It makes our burgers even better with small changes that add up to a big difference. Guests experienced hotter, juicier and tastier hamburgers. Results in these first two markets demonstrated that this new standard helps drive even more robust sales growth. Comparable sales grew 1.5x inflation flat in the first quarter, including mid-teens guest volume growth and strong inflation added average check growth. Performance was consistent across the division with all markets delivering strong volume and total revenue growth. SLAD maintained strong sales growth momentum while reinforcing its leadership position in the QSR industry by reaching its highest value share on record. SLAD also reached its highest penetration of digital identified sales, growing 91% compared to the prior year quarter. The division brought out the McCrispy Chicken platform in Argentina and Chile, with strong consumer response in both markets. The launch of the Signature Turbo Taste platform strengthened the line of premium beef products in Chile, which helped fuel sales while reinforcing value for money perception. SLAD also connected with younger consumers with sponsorships of some of the most relevant music festivals in the region, Lollapalooza in Argentina and Chile and Estereo Picnic in Colombia. We have always enjoyed a significant competitive advantage from our freestanding restaurant portfolio. This is especially pronounced in challenging economic times when mall-based restaurants tend to suffer most. Lesson from the past also have us well positioned in terms of pricing that should support continued volume growth even in a softer economic impact. Over to Mariano, for a closer look at consolidated and divisional profitability in the quarter.
Mariano Tannenbaum: Thanks, Luis. Good morning, everyone. A compelling value proposition drives guest volume and top line growth above inflation, which then leads to operating leverage and improving profitability. With that, First quarter adjusted EBITDA grew 28% in U.S. dollars versus the prior year. It is worth remembering that the first quarter of 2022 was the easiest comparison we will face this year since it was the last period to include a material impact from COVID due to the Omicron strain of the virus. Adjusted EBITDA margin improved by 20 basis points versus the first quarter of last year. We generated efficiencies and operating leverage in payroll occupancy and other operating expenses and G&A. These were partly offset by higher food and paper costs as a percentage of revenue due to our pricing strategy and a tough comparison with the first quarter of last year. I should note that food and paper costs have been well controlled over the last 3-plus years despite supply chain disruptions and commodity price spikes in the period. The first quarter 2023 margin also included the impact of the final step-up of our royalty rate. For the full year 2023, we expect food and paper costs to be relatively flat as a percentage of revenues versus 2022. Sustained sales growth will be the key driver of operating leverage needed to offset the impact of the higher royalty on our full year margins. And as has been the case for the last few years, we will prioritize sales as the main generator of adjusted EBITDA growth in U.S. dollars in 2023. During the first quarter, we kept with that priority. Adjusted EBITDA grew by double digits in all three divisions. Brazilian SLAD benefit from higher sales per restaurant, which is the main driver of operating leverage over fixed costs. This generated strong U.S. dollar growth in EBITDA as well as margin expansion in both divisions. NOLAD’s EBITDA growth benefited from total sales growth but sales per unit is still below company average. This made it more difficult for operating leverage to offset the margin impact of the higher royalty versus last year. By now, most of you are familiar with the 3D strategy of digital delivery and drive-thru. All three components of the strategy performed well in the quarter. Digital, which includes sales from delivery, the mobile app and self-order kiosks achieved its highest-ever penetration in system-wide sales. As you already heard, the percentage of identifiable sales continued growing in the quarter as well. We expect to see this penetration increase once we launch our rewards program in all of Brazil. Our pilot program has generated encouraging results and is being expanded to more restaurants in the country. We are still on track to launch the program in all of Brazil later this year and to the rest of our markets over the next couple of years. Delivery and drive-thru sales were up year-over-year and sequentially. We are particularly pleased with the sustained sales performance in these channels, especially with front [indiscernible] sales growing more than 50% versus the prior year in constant currency. Delivery sales grew across the entire Arcos Dorados footprint, supported by strong [indiscernible] volume growth in both SLAD and Brazil. Brazil’s delivery sales grew by more than 22% in constant currency in the period and generated more than 17% of the division sales. Drive-thru sales rose by 13% in the first quarter versus last year. As expected, guest traffic in drive-thru is beginning to moderate given the growth in from counter sales. Our balance sheet remains strong, even as we invest some of the cash to fund our growth plan. Our net leverage ratio remained at a very healthy 1x. We expect the net leverage ratio to remain well below our historical comfort range of 2 to 2.5x at the end of 2023. Historically, cash flow from operations is relatively low during the first half of the year, due to the seasonality of our working capital needs. This year’s first quarter also reflects the additional openings at the end of 2022 and the increased openings plan for 2023. We expect cash conversion to remain in the 85% to 90% range for the full year. Last year, we exceeded openings guidance partly by accelerating a few restaurant openings earmarked for the first quarter of 2023. We still expect to open between 75 and 80 restaurants this year with a higher concentration of openings in the second half. We opened eight freestanding restaurants and capital expenditures were $47 million in the quarter. Finally, we made the first of four installments of this year’s dividend at the end of March. Marcelo, back to you.
Marcelo Rabach: In the next few days, we will publish our 2022 social commitment and sustainable development report. In the report, you will see all the work we did last year across the six pillars of our recipe for the future. For example, the strong results we are generating make it impossible to continue investing in our growth in the communities we serve. Last year, we increased our renewal energy usage by nearly 2.5x, expanded our circular economy initiatives such as the recycling of oil and packaging, intensify our efforts to procure our ingredients from responsible sources, offer thousands of development and job opportunities for young people and distributed over 890,000 books for children to enjoy with their happy meals. You can learn more about all these initiatives by downloading the report in English from www.rescueforthefuture.com. Before we open the call up for Q&A, I would like to leave you with a few thoughts. First, we believe that building a love brand creates value for the company and its shareholders. This is why our marketing spend has shifted over time to focus on culturally relevant brand activations in our markets rather than just pricing and products. Examples include the Big Brother Brazil and Lollapalooza sponsorships that drove brand affinity among younger guests. But the brand leaves every day in the more than 2,300 restaurants we operate. We have the largest freestanding restaurant portfolio by a wide margin. And as someone who began his career in the operation, I believe our operational expertise is second to none. Almost half of the portfolio has already been modernized to experience of the future, and all restaurants were converted to our culture of service several years ago. This service-oriented culture is what truly distinguishes the McDonald’s restaurant experience in Latin America and the Caribbean. We are also part of the global McDonald’s’ system. We develop tools such as the 3D strategy that help us maximize the potential of our restaurant footprint and operational expertise. Clearly, these channels are driving engagement with guests and offering them the choice of when, where and how to enjoy their favorite McDonald’s orders. Finally, to build a strong brand and sustainable business model, we must operate responsibly. This is why we have the industry’s leading ESG platform with ambitious initiatives and goals aimed at benefiting our business, the communities we serve and the planet we all share. Thank you for your ongoing support. Dan over to you to start the Q&A session.
A - Daniel Schleiniger: Thanks, Marcelo. In order to get started, please minimize the presentation slides so that you can access the chat function on the left-hand side of the webcast platform. [Operator Instructions]  Great. So our first question this morning comes from Joaquin Ley of Itau, and I’m going to combine it with a question that Thiago Bortoluci from Goldman Sachs sent us. Joaquin says, congratulations on the results. And can you please elaborate on the reasons explaining the very different margin performances in Brazil and SLAD versus NOLAD? And Thiago has a similar question that says margins for NOLAD came in a touch lower even if adjusted for the royalties despite solid same-store sales growth. Why is that? And what’s the outlook? Gracious. So that question, I’m going to turn it over to you, Mariano.
Mariano Tannenbaum: Perfect then. Good morning, everybody, and thank you for Joaquin and Thiago for the question. Well, first of all, the three divisions are showing sales growing well above inflation. We are very pleased with that. The three divisions are showing double-digit EBITDA growth in U.S. dollars. Brazil in this respect, is growing almost 30%, 29.2% SLAD 34.3% and NOLAD 10.7%. SLAD Brazil with higher sales per unit are more capable of leveraging our fixed costs. And with that, even offset the royalty step-up that happened in August last year. NOLAD on the other hand, with lower sales per store, and also with a higher exposure to food and paper imported goods is less able for the women to leverage on those fixed costs. And that’s the main reason why we are seeing different behavior between Brazilian SLAD on one side and NOLAD on the other. Regarding the outlook in general for – on a consolidated basis, here, our plan is clear, and that’s our expectation for the rest of the year. We remain very focused on driving top line with sustainable volume growth in all channels to deliver the EBITDA loss in dollars with a very healthy margin profile. This is what we have been doing last year, we are continuing to do during this year, and that’s our expectation for the year. Regarding, for example, food and paper, we expect to have a similar figure than we had last year, and we expect to leverage for all the fixed costs, mainly you will see that on payroll, on G&A and other occupancy that – when sales continue to grow above inflation, we would expect to see leverage on those rents.
Daniel Schleiniger: Great. Thanks Mariano. The next question actually is the first two parts of Thiago’s original question. Good morning team, congrats on the amazing results. A couple of questions, both of which will be for Marcelo. On Brazil, how have same-store sales performed throughout the quarter, especially in March? And what does the quarter performance imply for market share evolution. That’s the first part. And maybe, Marcelo, do you want to start with that, and I will give you the second one here in a second.
Marcelo Rabach: Excellent. Thank you, Dan and hi Thiago. Nice to have you in the call. Well, we are very pleased with the performance of sales in the whole company, but particularly in Brazil, we did extremely well across the quarter. Even though during the first two months, numbers, figures for comparable sales were better because the base of comparison in 2022 was still affected by the Omicron impact and some restrictions. But we did well, very well in March. We grew sales, comparable sales well above inflation and we grew volumes which is very, very important for us. And most importantly, the trends that we are seeing in the second quarter shows that we are keeping momentum in Brazil and in the whole company. So, sales trends in the second quarter are doing extremely well. So, we remain cautiously optimistic as we go through the rest of this year. We knew by the figures published by other retailers in the market that there are some headwinds in Brazil, but we are beating the market, and that’s reflected in market share figures in Brazil. We continue to do extremely well. We have more than doubled the market share of our closest competitor. And based on the public figures about comparable sales in the market, we are getting the gap even bigger, thanks to our acceleration in the comparable sales performance.
Daniel Schleiniger: Perfect. And the second part of Thiago’s question, Marcelo, is Argentina has been extremely volatile. And apparently, you closed some stores in SLAD. How are you seeing the consumer backdrop in the region?
Marcelo Rabach: Yes. First, let me tell you that the restaurants that we closed in SLAD, most of them are in Venezuela. We closed six restaurants in Venezuela. So, we didn’t close any restaurant in Argentina. And despite the challenging macro environment in the market, in Argentina, we are very pleased with the performance of our business in that country, where the McDonald’s brand has gained preference and market share in the last several quarters. The volume growth has been the real story in Argentina, at the beginning, thanks to the 3D strategy. But more recently, from counter volume has reaccelerated and is now above pre-pandemic levels in Argentina. So, Argentina has one of the highest levels of guest traffic per restaurant in all of our markets, in all of Arcos Dorados and digital channels has a lot to do with that. The digital sales penetration in Argentina is one of the highest in our region, and that allows us to work with segmentation and personalization. And these tools help us not only in terms of growing sales and volumes, but helps us in terms of improving our profitability in the market. So, we are very, very pleased with the performance in Argentina, despite the challenging macro environment.
Daniel Schleiniger: Perfect. Our next question is also a two-parter from Melissa Byun of Bank of America. The first one for you, Mariano, can you please discuss the outlook for protein and other food costs and any hedges or purchase commitments you have made?
Mariano Tannenbaum: Perfect. Thanks Melissa, for the question. In terms of food and paper costs, we are expecting for the full year a similar cost to last year, as I mentioned in the previous question. Regarding protein and other food cost pressures, we are seeing actually less pressure on that front in the beginning of the year. But that together with our proven pricing strategy that is allowing us to grow sales above inflation. That’s the reason why we are expecting stable food and paper costs throughout this year. And regarding the hedges, as we already mentioned our policy is to hedge 50% of projected food and paper exposure on a running basis. So, we are doing that with an outlook of two quarters to three quarters and that’s what we continue to do, and we will do that for this year.
Daniel Schleiniger: Great. The second part of Melissa’s question is can you comment on the pricing and promotional environment in your markets – in your major markets? Are you seeing any acceleration in the market share shift from the informal and independent to the formal and chained operators? And she says, thank you, that one for you, Luis.
Luis Raganato: Thank you, Melissa for the question. I will start with the second part of the question. We do not see an acceleration in the market share sheet from informal to formal operators. What we are seeing is a rational competitive environment and sales recovery of smaller branded competitors of the sector of the QSR sector. But we are prepared to face future competitive pressures. We think we have the right strategies, and we are focusing on execution at the restaurant level. Our strategy is built on offering value with a pricing architecture that maximizes the targeted or addressable market. And that allow us to offer attractive value for our guests. So, we have positive results in market share in the first quarter 2023. Our big advantage was 2x to 3.5x as big as that of our two closest competitors. Dan?
Daniel Schleiniger: Thanks Luis. Our next question – actually, a couple of questions come from Antonio Hernandez of Barclays. Hi. Good morning. My questions are, number one, where are you seeing more payroll and labor headwinds? And we will start with you Mariano.
Mariano Tannenbaum: Perfect. And thanks Antonio, for your question. First of all, let me say that we are very pleased we the level we are having in parallel on a consolidated level below 20% of revenues. That’s a very healthy figure for Arcos. And we expect to continue to obtain leverage on the payroll line as we continue to grow sales above inflation. Having said that, what we are observing is that we are having more leverage in Brazil and a bit more pressure on the labor front in NOLAD and in some markets in salad – in SLAD.
Daniel Schleiniger: Perfect. Thanks Mariano. The second part of Antonio’s question for you, Luis, is the deceleration in drive-through changing your pipeline for this format in terms of openings and modernizations?
Luis Raganato: Alright. Yes, Antonio, thank you for the question. The first, it is important to say that the drive-through channel had a strong growth during the pandemic and we have the chance to have new customers, new guests. They have the opportunity to try even though that would be protected in our markets to try this challenge for the first time, okay. They found out that it was not only fun, convenient, safe, but cool, okay. And now with a very strong recovery in [indiscernible] with more than 50% in the first quarter of ‘22, even with that, the sales are growing about 13% versus the first quarter of 2022. So, this is expected, a moderation in this traffic today in the calls that we attend. But our challenge is now to continue making drive-through a growth engine for the company. And we have to make adjustments in operations. And we have the right set of programs in place for marketing and digital. Even with the modernization, we make with just – adjustments that we make in the buildings. We make not only for drive-through, but for delivery, we made our operation easier, and that allow us to capture additional savings. Dan?
Daniel Schleiniger: Thanks Luis. The next question comes from Ulises Argote of JPMorgan. Hi team, congrats on the results. Just a quick one on the sales trends, any color on how performance has been into the start of second quarter ‘23 and how sales performed sequentially through the first quarter of ‘23 as we rolled out the effect from Omicron on the base? And that one, I will turn it over to you, Marcelo.
Marcelo Rabach: Okay. Thank you and thank you, Ulises, for the question. As I mentioned when I answered the first question about Brazil’s performance in the comparable sales figures for the first quarter, that was the same case for the whole company. So, within the quarter, the base of comparison of the first quarter 2022 was easier for the first couple of months. But again, we saw very strong results both in terms of volumes growth and in terms of comparable sales growth well above inflation during the first quarter. And in the second quarter, same that I mentioned before for Brazil, we continue to see very strong sales performance. In fact, I would say that May has been a very strong month. The first couple – two couple of weeks of May have been very, very strong. So, we remain very confident that we have in place the right marketing plans, the right marketing initiatives and all the structural competitive advantages that brought us to this point, that brought us to this leadership position. We continue to deliver against the environment that we are facing in the different markets, so very encouraging figures coming from sales and volume growth in the second quarter of the year.
Daniel Schleiniger: Perfect. So, we have a question from Anik and Anik, I apologize if I don’t pronounce your last name correctly, Mitsui from American Trust Investment Advisors. Congratulations on the performance. And can you please expand more on the latest digital program expected to release in Brazil later this year, in other regions in the following years? And that one is for you, Luis.
Luis Raganato: Hello Anik. We currently have a loyalty program that is exclusive to drive-through, but it’s called out-mark. By the end of March, we have had around 1.4 million members. But we launched, we have mentioned this before and in the last calls, which means although we have launched pilot of our loyalty program, operator in Brazil with very, very good results. Without even – without a massive media launch, we not only an increase in value of identifiable sales, but an increase in visit frequency. That’s why today, we are starting the expansion of the program to more restaurants, including several franchisees and the inflation is, like have said, to launch to all of Brazil later this year and to the rest of our 20 markets over the next couple of years. Dan?
Daniel Schleiniger: Great. Thanks Luis. I am showing no more questions in the queue here. So, I guess we have reached the end of our Q&A session. I want to thank everyone again for your interest in Arcos Dorados and for joining today’s webcast. Look forward to speaking with you again in the middle of August on our second quarter 2023 earnings webcast. And until then, stay safe and have a great day, everyone.